Operator: Welcome to the Trinity Industries Second Quarter Results Conference Call. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995, and includes statements as to estimates and expectations, intentions or predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for description of certain of the business issues and risks. A change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward looking statements. Later, there will be an opportunity to ask questions. (Operator Instructions). It is now my pleasure to introduce James Perry, Vice President and Chief Financial Officer of Trinity Industries.
James Perry: Good morning from Dallas, Texas, and welcome to the Trinity Industries' second quarter 2010 results conference call. I am James Perry, Vice President and Chief Financial Officer of Trinity. Thank you for joining us today. Following this introduction, you would hear from Tim Wallace, our Chairman, Chief Executive Officer and President. After Tim, our business group leaders will provide overviews of the businesses within their respective groups. Our speakers will be Steve Menzies, Senior Vice President and Group President of the rail and Railcar Leasing Groups, Antonio Carrillo, Vice President and Group President of the Energy Equipment Group, and Bill McWhirter Senior Vice President and Group President of the Construction Products and Inland Barge Groups. Following their comments, I will provide the financial summary and guidance and then we will move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer, is also in the room with us. Now, I will turn the call over to Tim Wallace for his comments.
Tim Wallace: Thank you, James and good morning everyone. Our business has continued to confront a variety of market scenarios. We anticipate that each quarter we will have its own unique challenges due to the continued uncertainty about the direction of the economy. Our liquidity continues to be strong at $1.1 billion. During the past few months, we have experienced some unfortunate weather-related problems. In May, our Tennessee barge facility was flooded when the area was seeing the large amount of rainfall during the 24-hour period. We are well underway towards the full recovery of this at this facility. Recently, some of our Mexico facilities were affected by Hurricane Alex, and we had some minor delays at these facilities. I'm very pleased by the way our personnel responded to the challenges associated with the flooding. My thoughts and prayers have been directed towards our employees' families who suffered losses during these storms. Market demand for our products in most of our businesses continues to fluctuate. We're seeing relatively steady demand for products manufactured by our highway-related businesses. Majority of our large businesses have order backlogs that should provide consistent production at lower than normal levels through the end of the year. All of our businesses are aggressively pursuing orders to maintain as much production continuity as possible. I'm pleased that our railcar manufacturing business increased its order backlog during the second quarter. Our structural wind towers business is continuing to reshuffle its production schedule to accommodate customers. This reflects the uncertainty that remains in the industry. I'm pleased with the ability of our wind towers business and our barge business to maintain respectable margins at decreased production levels. Our Railcar Leasing Group is providing the most consistency in earnings. Our overall performance during the second quarter reflects the talent and hard work of our people, the diversification of our businesses, our emphasis on operational excellence and the strength of our market leadership positions. Going forward, our manufacturing businesses are prepared flex to the demands in their market shift. I'm confident in their ability to firstly respond to changes in their market. And rapidly changing business climate like the one we are experiencing, we are fortunate to have a highly seasoned group of employees. I will now turn it over to Steve Menzies for his comments.
Steve Menzies: Second quarter operating results for the Rail Group and Leasing Group were in line with our expectations. We saw lease fleet utilization increase to 98.7% and shipped approximately 890 new railcars. Our new railcar order backlog grew during the second quarter allowing us to plan a consistent level of production for the balance of the year. I am pleased with our operating performance in a highly challenging and uncertain railcar marketplace. We have seen some improvement in demand for certain key railcar types. Demand has improved for railcars in transport of chemicals, minerals and agricultural products, while railcars have served the lumber, paper, automotive and coal industries continue to suffer from weak demand. Lease renewals and lease rates appear to be stabilizing and even improving in certain markets. Currently the lack of the strong recovery in North American industrial production and overhanging of idle railcars continues to repeat any broad base sustainable recovery in railcar demand. During the second quarter, the industry received orders to build approximately 4,900 new railcars reaching the total for the first half of 2010 to almost 10,000 railcars. While industry orders for the first half have risen above 2009 numbers, the overall demand is still well below the industry's capacity for deliveries. TrinityRail received approximately 1,900 railcar orders during the second quarter. We continue to be selective about orders we pursue. The orders we receive fit well with our production plans and included taking covered hoppers for railroads, thirty-party lessors and industrial shippers. TrinityRail's backlog was approximately 3,990 railcars at the end of the second quarter, up 34% from 2,980 railcars at the end of the first quarter 2010. Approximately 40% units of the units in our railcar production backlog is for customers of our leasing business. Based upon orders received and current enquiry levels, we have increased our projection for railcar production through the end of the year. We now expect to deliver between 1,100 and 1,300 railcars during the third quarter. For comparison, we shipped 890 railcars in the second quarter and 500 railcars in the first quarter of this year. We added 720 new railcars during the second quarter to our lease portfolio brining our total leased fleet to more than 50,970 railcars, up 5% increase compared to 48,630 railcars at the end of the second quarter 2009. Our lease fleet utilization increased sequentially to 98.7% from 98.3% at the end of first quarter 2010. Our average remaining lease term declined to 3.6 years and the average age of the fleet is 5.6 years. The total leased fleet totals 14,700 railcars operating at 98.5% utilization. We have increased our new railcar production as a result of our increased backlog. Our operating flexibility has allowed us to increased production to meet customer needs. We continue to closely monitor demand in various market segments. However, we see conflicting economic data in rail transportation metrics making it difficult to determine the timing or sustainability of a broad base recovery of railcar demand. We will adjust to further changes in the marketplace as needed, while aggressively pursuing select railcar building and lease investment opportunities to meet our objectives. We expect to continue to grow our lease fleet, which continues to perform very well throughout difficult operating circumstances. I'll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve and good morning. During the second quarter, our wind tower business secured settled orders… ###### I'll now turn it over to Antonio.
Antonio Carrillo: Thank you, Steve and good morning. During the second quarter, our wind tower business secured some new orders. Our backlog is stable at around $1.1 billion, and extending to 2013. The economics of wind energy continue to be challenged by a variety of reasons. As a result, additional wind farm projects have been delayed. As Steve mentioned, we continue to adjust our production schedule to accommodate customers. This ongoing re-shuffling is making it difficult to predict results. We are concentrating on staying flexible and responsive to customer requirement while maintaining sufficient capacity to handle new customer demand when it develops. Our other businesses saw demand stabilize for most of their products during the second quarter and their backlogs began to grow. The one exception is products related to the housing market. Demand in these markets continues to be weak. In July, Hurricane Alex caused significant damage to the highway system in Mexico, negatively impacting our operations there. Our team did a great job in finding alternatives to minimize the impact of this storm and our plants were fully operational within days. I will now turn the call over to Bill for his comments.
Bill McWhirter: Thank you, Antonio and good morning everyone. Our Construction Products Group had a good quarter. This is in large part due to the performance of our highway products business, which now includes the recently acquired Energy Absorption Systems. We are continuing to make positive progress on the integration. On the concrete and aggregate side, we saw a little improvement in demand during the second quarter. Both, the home building and commercial markets continue to be weak. Highway-related projects filled some of the gaps in our construction materials business, but not enough to completely offset the declines in general construction. Moving to our Inland Barge Group. In the second quarter, our Tennessee barge plant suffered a significant flood. As a result, we incurred $3.4 million in related costs not covered by our insurance policies. We estimate that we will incur approximately $1 million in cost from the third quarter. We expect to be back to normal operations by the fourth quarter. The recovery and rebuilding efforts by our employees has been nothing short of heroic. During the second quarter, we received orders for approximately $87 million, which keeps our barge backlog relatively consistent. I'm pleased with our performance in this challenging economic climate. And now, I'd turn the presentation back to James.
James Perry: Thank you, Bill. My comments relate primarily to the second quarter of 2010. We will file our Form 10-Q later today. For the second quarter of 2010, Trinity reported earnings of $0.23 per diluted share with revenues of $543 million. Trinity's EBITDA was $128 million. A reconciliation of EBITDA was provided in the news release yesterday. Revenues for our Construction Products Group were $171 million in the second quarter with an operating profit of $17.7 million resulting in a margin of 10.4%. The results reflect the successful integration Quixote Corporation now called Energy Absorption Systems into our highway products business. In the Rail Group, revenues grew from the first quarter about 53% to $113 million as we increased our deliveries during the quarter. The operating result for Rail Group was a loss of $2.7 million, or negative 2.4% margin. The Rail Group backlog grew by 34% during the quarter to approximately 3,990 railcars with an estimated sales value of $300 million. Our Railcar Leasing and Management Services Group reported revenues of $120 million including $30 million of revenue from TRIP. Operating profit for the quarter was $49.2 million, including $17.5 million from TRIP. In the second quarter, TRIP provided Trinity with earnings per share of between $0.01 and $0.02. We expect this level of quarterly contribution from TRIP to continue assuming the TRIP's operating metrics remained relatively consistent. The Inland Barge Group's second quarter performance was impacted by flooding at our Tennessee barge facility, reducing operating profit by $3.4 million. The Barge Group generated revenues of approximately $100 million and operating profit of $12 million, a margin of 12.1%. Our Barge business received orders during the second quarter of $87 million and had a backlog value of approximately $350 million. During the second quarter the Energy Equipment Group's revenues were $115 million with the wind towers business contributing $78 million. Operating profit for the group was $13.5 million resulting in an operating margin of 11.75. The results reflect ongoing softness in the wind tower market and a decision by our wind tower's business to delay certain deliveries to accommodate customers' request. The backlog for the wind tower's business remained healthy, at approximately $1.1 billion as of June 30th. At June 30th, we had $338 million available under the Railcar Leasing warehouse facility and $339 million available in the revolving credit facility after accounting for $86 million in letters of credit. Combined with our unrestricted cash and short-term marketable securities balance of $435 million, our total liquidity was in excess of $1.1 billion at the end of the second quarter. Now, I will move to our forward-looking guidance. We anticipate diluted earnings per share for the company to be between $0.18 and $0.23 in the third quarter. For 2010, we anticipate full year earnings will range between $0.60 and $0.70 per diluted share. We anticipate that the Rail Group will report an operating loss of between $3 million and $5 million for the third quarter of 2010. Inland Barge revenues are expected to be between $100 million and $110 million in the third quarter with an operating margin of between 12% and 14%. We expect that the barge operating profit will be negatively impacted by approximately $1 million due to the second quarter flooding at our Tennessee barge facility. Revenues for the Energy Equipment Group are expected to be approximately $110 million to $120 million in the third quarter with margins anticipated to be between 7% and 10%, as we manufacture less profitable orders from the backlog and reschedule delayed orders. The adjustment in production schedules to meet customer needs means several orders will be pushed back to future years. As a result, we expect the wind tower business to contribute between $280 million and $300 million in revenue during 2010. Through the first six months of the year, we had non-leasing capital expenditures of $15.3 million. Our current forecast is for approximately $40 million of non leasing capital expenditures in 2010. Through the first six months of the year, we had net additions of railcars to the lease fleet totaling $90.4 million. For 2010, we anticipate approximately $200 million to $225 million in net fleet additions. We remain well positioned with a diversified portfolio of businesses, a strong balance sheet and solid cash flows. Our focus on liquidity positions us to be able to capitalize on business opportunities as they arise. Now, our operator will prepare us for question-and-answer session.
Operator: (Operator Instructions). Our first question comes to us from Steve Barger with KeyBanc Capital.
Joe Box - KeyBanc Capital: This is actually Joe Box in for Steve. My first question is actually in regards to railcar pricing. It appears that why your competitors had removed themselves from the market in 2009, not really pricing aggressively to secure any orders. Now it looks like they are back in the market, taking just over about 20% of the industry orders in Q2. Can you just talk about what you are seeing in the pricing environment and has it become incrementally more challenging over the last few quarters with an extra competitor back in the market?
Tim Wallace: Steve, why don't you take that?
Steve Menzies: Joe, there is no question that our industry remains a highly comparative and highly challenging. Overall, we are weak demand, but combine the weak demand, which are still at very little levels of building compared to capacity utilization. If you just look at the peak of the orders built a few years ago. Even if you take an annualized order level from the second quarter of 20,000 cars, you can see that they were still in a very weak position. As long as you as are in that position you are going to continue to have pressure on prices regardless to how many competitors are in the marketplace.
Joe Box - KeyBanc Capital: All right, now just looking at a few of your competitors and what they are currently doing, it seems like a few of them are looking at India as a potential option, and it also sounds like there is a larger lessor starting to set up shop there. Could you just talk about what your desire would be to look at international opportunities and specifically in the BRIC countries?
Steve Menzies: This is Steve again, Joe. We are always looking at various opportunities, but our principle focus is on the North American marketplace and we are excited about the long-term investment opportunities right here in North America, and our ability to get at those. So, others maybe looking at those opportunities and we'll certainly look at broader based opportunities too, but we are happy with our prospective here in North America right now.
Joe Box - KeyBanc Capital: Switching gears to the wind business. I know it's early relative to the recent energy bill that came out of the Senate, but can you give us a sense for what the overall impact might be to the wind space if there is no renewable energy standard included in the energy bill? And does that potentially change your delivery cadence of your wind backlog maybe even more so than you already talked about earlier today?
Tim Wallace: Antonio, you want to take that question?
Antonio Carrillo: As you know, the wind industry requires a long-term energy policy that supports it. These new energy build up came out, does not include renewal energy standard. So, as long as there is no renewable energy standard, we believe that the industry will go through periods of strong performance and in periods of very weak performance. So, we really believe that the industry require that renewable energy standard for long-term perspective.
Joe Box - KeyBanc Capital: Do you care to take a stab maybe at 2010 and 2011 installations based on no renewable energy standard, or at least, maybe talk about it directionally?
Antonio Carrillo: I think there is a level of uncertainty in the market and I at least don't want to take the position in that right now.
Operator: Our next question comes to us from the side of Paul Bodnar with Longbow Research.
Paul Bodnar - Longbow Research: First, on the leasing fleet. Obviously, it's relatively young and I was just kind of curious here over the next coming years, should we expect, maintenance is expected to start ramping on that? And what will be the pace of that and what will be the timeframe or as you try and get and stay at current levels?
Tim Wallace: Steve, will you take that?
Steve Menzies: Paul, certainly there's a maintenance lifecycle cost associated with the railcars. The railcar gets older, we have increased maintenance expenses. So, certainly that's an issue for us, but we are also faced with regulatory pressures as well and changes from that standpoint. So, something we manage, something we monitor, and hopefully the way we spec our cars and develop our cars for lifecycle cost, we were able to minimize those expenses over the life of the railcar.
Paul Bodnar - Longbow Research: Is it something that it's in a low level now and over the next two three years just wondering that account grow or, I mean this is something that could probably stay at these levels?
Steve Menzies: We have experienced, probably in order to model remarketing expenses as we have had to move cars from previous lessees and assign them to new lessees. So, we are seeing some of that impact on our businesses. As renewable percentages stabilize and the market strengthens, we would expect our remarketing expenses to decrease over time too.
Paul Bodnar - Longbow Research: You guys maybe answered this in your comments that you've done a few minutes late, but I know normally in 2Q you usually receive your barge order from the one large customer. Was that in this quarter's orders or what was the situation at this time around?
Tim Wallace: Bill, take that one.
Bill McWhirter: The large order, I think you are referring to is our long-term contract with Ingram. That was actually in our backlog at Q4 2009 as we worked with them for the 2011 production, so the second quarter orders represents new business.
Paul Bodnar - Longbow Research: So, they placed that early this year basically?
Bill McWhirter: They did. Actually fourth quarter '09.
Operator: (Operations Instructions) We'll next go to side of Tom Albrecht with BB&T.
Tom Albrecht - BB&T: I just wanted to get a little bit more commentary on the leasing business. On a year-over-year basis your revenues declined $14 million and your leasing profit went up exactly $14 million, and I know it's a flip-it question, and it's not intended to be, but it sort of seems like you're basically saying all of that business that you lost revenue wise was a money-loser, because your profits went up by the exact amount. Can you just talk about that dynamic? And more importantly why leasing profits could be that strong with that sort of a weak revenue level?
Tim Wallace: James, why don't you take that? Steve, you could wait for James.
James Perry: Tom, this is James. I think when you see the 10-Q that we will file later today, you'll get the detail that you normally do between revenues and profits from operations versus car sellers. As you remember last year in the second quarter, we were ramping up the ramp up TRIP and still had some car sales from our fleet into TRIP's fleet. So, the revenues are down as a result of that. The revenues from operations are relatively flat, but the profitability on a car sale is not terribly significant necessarily, and it seems that we have had some added expenses due to remarketing over the last couple of quarters and expenses moving from one car customer to another. So, it's really the difference in the car sales, which you'll see in the revenue and on the profit line. It's just the general operation profits that we've experienced.
Steve Menzies: James, thanks for mentioning TRIP. I think I misspoke in my earlier comments. I said TRIP utilization was 98.5%, it's actually 99.5%, so just want to clarify that.
Tom Albrecht - BB&T: Let me follow-up on that. On the lease rates, approximately how much have they rebounded on a let's say year-over-year basis, compared to the darkest days of four or five quarters? I am sure they are up nicely, but the part two of that question would be, where are lease rates today maybe versus a really good market of let's say three years ago?
Tim Wallace: Steve, why don't you go ahead and take that one?
Steve Menzies: Well, it's difficult when we make broad generalizations in talking about lease rates, because we really need to analyze lease rates based upon individual market segments. And in general, I think, lease rates are stabilizing and we have seen them improving, actually going up in certain segments. We do see rates tick up slightly in the first half of 2010, and we are seeing other improvements in the operating metrics of our lease fleet as well. Higher lease fleet utilization, certainly would indicate as a precursor to rising lease rates too, so we'll continue to put pressure to raise our lease rate, but again, it will vary by market segment.
Tom Albrecht - BB&T: Can you give any color versus maybe three years ago? I appreciate the segment difference, and also lease term length I know affects that, but maybe compare to before things got bad?
Steve Menzies: Yes. Really tough to generalize, and we don't have that analysis to give you a concise response.
Tom Albrecht - BB&T: Can you talk about whether the demand is more still for two and three-year leases or are you starting to see any reemergence of six and seven-year leases?
Steve Menzies: We really prefer not to comment on specific lease terms. Our average remaining lease term has declined. I would expect it in market segments we will love to see that going the other way.
Tom Albrecht - BB&T: I'll look forward to the 10-Q. Thank you.
Operator: (Operator Instructions) We will next go to the side of Alex Blanton with Ingalls & Snyder.
Alex Blanton - Ingalls & Snyder: I missed the number on how much you expect the wind power to be for the year. Could you repeat that, please?
James Perry: Sure. We expect our wind tower revenues to be between $280 million and $300 million for the year. There were $78 million in the second quarter.
Alex Blanton - Ingalls & Snyder: What were they last year in the quarter?
James Perry: Let me get that for you real quick.
Tim Wallace: In second quarter.
James Perry: Yes. In the second quarter last year, the revenues were revenues were right at $100 million.
Alex Blanton - Ingalls & Snyder: And the full last year was what?
Tim Wallace: For wind towers are you saying, or you saying for the Energy Equipment?
Alex Blanton - Ingalls & Snyder: No. wind tower. Just that wind tower part.
James Perry: We'll get that for you. For six months last year, it was right at $192 million. We'll pull for you the full year, Alex, here in just a second.
Alex Blanton - Ingalls & Snyder: Of the $1.1 billion, the amount to be delivered in next 12 months is fairly small, is that correct?
James Perry: Yes. That's correct.
Alex Blanton - Ingalls & Snyder: So that is really all the backlog you have and is that all scheduled to be delivered at some specific time?
Tim Wallace: Antonio, you want to take that one?
Antonio Carrillo: As I mentioned in my comments that backlog extends into 2013.
James Perry: Alex, the annual total for 2009 was $358 million.
Alex Blanton - Ingalls & Snyder: Good, gives us some indication how much it's down. I have to say it's astounding. Your gross operating overall was 14.5% versus 11.8%. 14.5% would be good in any case for equipment company, but when you've had sales decline 24% year-over-year, it's astounding, and then you look at the railcar, which is probably the probably the principle reason for that and it's even more astounding, because the railcar business was $113 million versus $303 million that's about one-third and yet you almost maintained profitability, and you only had a $6 million decline in profits on a $190 million decline in sales. So, how do you achieve that? That's really the question. It just was outstanding performance really.
James Perry: Thank you for that word. This is James, Alex. I appreciate that. We certainly worked hard to cut cost at all levels of the company, improve our efficiencies in our facilities, I think our business leaders are here in the room today, who certainly echo that thought. So, we've done a better job getting efficiencies out of our production backlog that we've had in managing through the down cycle that we've been through. One thing I would point to is, our leasing business has continued to grow. That's become a bigger and bigger part of our overall portfolio. And given leasing operating margins are certainly well in excess of the overall corporate margins then there is a blended average that will bring your margin up. So, that's certainly reason why over the last 10 years, we've had a very intense focus on growing that lease fleet. So, it gives us that stability and gives us that profitability base that you look for in a downturn.
Tim Wallace: Alex, this Tim Wallace. Back to what James was saying, over the past 10 years, we have been focusing quite a bit of resources to be positioned. When we went through the next cyclical downturn, and it came faster than we anticipated then we would be able to respond in the way that we've been able to respond. So, I really appreciate your comments and recognition of that because it's been a lot of hard on a lot of our people's part. And like I said in my script, we've got a season group of employees that are highly equipped at flexing with the various demands in the marketplace and you can see that in the results of our financial statement.
Alex Blanton - Ingalls & Snyder: Well, it's more than just cost cutting. Isn't this lean manufacturing techniques and practices that you have put in over the last 20 years?
Tim Wallace: It's just a combination of a number of different initiatives that we put in place. A lot of that would be season capabilities and competencies of the organization that we have of people understanding how to flex with shifts in market demand.
Operator: It appears we have a follow-up question from Tom Albrecht with BB&T.
Tom Albrecht - BB&T: Just in the interest of being able to work on the model ahead of the queue. Can you reveal the gain on the sale of the railcars in the quarter?
James Perry: From the lease fleet?
Tom Albrecht - BB&T: Yes.
James Perry: Very minimal. You had about $3 million or $4 million of sales from the cars that you sold from the lease fleet. You had less than $0.5 million of profit as a result of those sales, so very minimal. 12 months ago, for comparison that number was about $3.5 million of profit.
Tom Albrecht - BB&T: I have got it in the model, but somebody is in there. What was the sale a year ago like $15 million or some?
James Perry: The sales last year were about $54 million.
Operator: (Operator Instructions). We will now return to side of Steve Barger from KeyBanc Capital.
Steve Barger - KeyBanc Capital: Actually my follow-up question was answered. Thank you.
Operator: We now return to Paul Bodnar.
Paul Bodnar - Longbow Research: It's follow-up on the leasing fleet business there. You said you have a pretty good level of remarketing expense. The core is, as you are moving cars around, so correct me, what percent of your cars are going back to kind of the same customer. You had the car with before and what percent of that is actually going to a new customer and being remarketed?
Tim Wallace: Steve, you want to take that?
Steve Menzies: Paul, we don't provide specific renewal percentages but there was a fair amount of displacement during the 2008 and 2009 with chemical companies and biofuels companies realigning their fleet, so that did have an impact on us then. But generally, we don't really provide those renewal percentages.
Paul Bodnar - Longbow Research: This year though most of these cars are being renewed with the same client?
Steve Menzies: We are seeing improvement.
Paul Bodnar - Longbow Research: What are you shipping around this? We are going how many now?
Steve Menzies: Yes. We are seeing improving trends in lease renewals.
Operator: And we will now go the side of Justin Harrison with Ramsey Asset. It looks like they have disconnected. Go ahead please.
Tim Wallace: This will conclude today's teleconference call. A replay of this call would be available after 1 o'clock today through midnight on Thursday, August 5. The access number is 402-220-0680. The replay will also be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect at this time.